Operator: Good morning ladies and gentlemen, and welcome to the Hilltop Holdings Fourth Quarter 2024 Earnings Conference Call and Webcast. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Matt Dunn. Please go ahead.
Matt Dunn: Thank you. Before we get started, please note that certain statements during today's presentation that are not statements of historical fact, including statements concerning such items as our outlook, business strategy, future plans, financial condition, credit risks and trends in credit, allowance for credit losses, liquidity and sources of funding, funding cost, dividends, stock repurchases, subsequent events and impacts of interest rate changes, as well as such other items referenced in the preface of our presentation are forward-looking statements. These statements are based on management’s current expectations concerning future events that, by their nature, are subject to risks and uncertainties. Our actual results, capital, liquidity, and financial condition may differ materially from these statements due to a variety of factors, including the precautionary statements referenced in the preface of our presentation and those included in our most recent annual and quarterly reports filed with the SEC. Please note that the information presented is preliminary and based upon data available at this time. Except to the extent required by law, we expressly disclaim any obligation to update earlier statements as a result of new information. Additionally, this presentation includes certain non-GAAP measures, including tangible common equity and tangible book value per share. A reconciliation of these measures to the nearest GAAP measure may be found in the appendix to this presentation, which is posted on our website at ir.hilltop.com. I'll now turn the presentation over to Jeremy Ford.
Jeremy Ford: Thank you, Matt, and good morning. Before we cover the results from the quarter, I would like to spend some time reviewing the full year of 2024. During the year, we saw a dramatic shift in the Fed's posture regarding inflation, and their corresponding target rate. The FOMC cut rates three times in 2024, totaling 100 basis points of reduction. Further, the yield curve realized a material change in shape as long-term rates, namely the 10-year treasury note fluctuated over 100 basis points from peak to trough, over the course of the year. Through prudent management, Hilltop produced an increase in consolidated pretax income year-over-year, despite the volatility of both short and long-term rates. Further, during the year, Hilltop realized growth in core deposits at PlainsCapital Bank enhanced our liquidity position by returning non-core excess funding. Continued progress towards operational efficiency with improved financial results at PrimeLending, invested further in the foundational business units at HilltopSecurities and returned $64 million to stockholders. As we embark upon a New Year, we will continue to focus on risk management, sound balance sheet positioning and the commitment we have to serve our customers and communities, which we believe will drive long-term value creation through economic cycles, with our synergistic and durable business model. Moving to the fourth quarter, Hilltop reported net income of approximately $36 million or $0.55 per diluted share. Return on average assets for the period was 0.9%, and return on average equity was 6.5%. Favorable operating results from the banking and broker dealer business units, helped to produce a quarter-over-quarter and year-over-year increase in pretax income. Hilltop realized another quarterly improvement in net interest income primarily, due to a growth in average earning assets, though consolidated net interest margin at Hilltop and net interest margin at the bank, did experience compression in the quarter. We will comment further on the bank's NIM later in our prepared remarks. During the quarter, PlainsCapital Bank generated $51 million of pretax income on $13.3 billion of average assets representing a return on average assets of 1.24%. Average loans at the bank declined by approximately 1% in the quarter, primarily due to a modest decrease in average core loan balances on a linked quarter basis. The bank realized an increase in its loan production pipeline pull through rate, as borrowers grow more accustomed to the new interest rate environment. We expect that it will take several quarters, for the increase in borrower activity to materialize into an increase in funded loans, held on our balance sheet. Average deposit balances at the bank increased by nearly $600 million during the quarter, which was driven by an increase in both core interest bearing deposits and non-interest bearing deposits. The increase in core interest bearing deposits, represents the fourth straight quarter of growth. Results in the quarter at the bank included a reversal of provision for credit losses of $5.7 million. This recapture was primarily, due to positive migration in the loan portfolio as total criticized loans, declined by approximately $34 million during the quarter, as well as an improvement in collective economic conditions. Will is going to provide further commentary on credit in his prepared remarks. The bank realized a seven basis point compression in net interest margin from the third quarter to 2.98%. This change was primarily attributable to the immediate repricing of cash held at the Fed, which experienced growth and balance during the quarter, as the rates on both earning assets and interest bearing liabilities declined. Overall, the bank showed steady improvement through the year in terms of funding, credit quality and loan pipeline growth. Moving to PrimeLending, where the company reported a pretax loss of $9.9 million during the quarter. The quarter-over-quarter decline in operating results, was primarily driven by a reduction in origination lock volumes during the fourth quarter. Notably, PrimeLending did experience an increase of $438 million in origination volume, compared with the fourth quarter of 2023. Gain on sale of loans sold to third-parties increased by two basis points when, compared to the third quarter. However, PrimeLending experienced a continued downward trend in mortgage origination fees and other related income, which decreased by five basis points quarter-over-quarter. While management at PrimeLending has prudently trimmed fixed expenses by 14% when compared to the fourth quarter of 2023, we believe the challenging mortgage market will continue to negatively weigh on PrimeLending's operating results in the seasonally slower first quarter of 2025. In the fourth quarter, HilltopSecurities generated pretax income of $20 million on net revenues of $125 million, for a pretax margin of 16%. Speaking to the business lines at HilltopSecurities, Public Finance Services produced a 32% increase in net revenues on strong offering volumes, amidst a record year of industry issuance of $508 billion of total volume. Structured Finance net revenues increased by $9 million from the fourth quarter 2023 this year-over-year growth was primarily driven by improved secondary margins in the TBA business, despite the volatile mortgage market. In Wealth Management, net revenues increased by $2 million, compared to the last year's fourth quarter, as an increase in retail and clearing fees and interest revenue, more than offset a modest decline in sweep revenue from the firm's FDIC sweep program. Finally, the fixed income business remains pressured, due to challenging market conditions and the business unit, realized a decline in net revenues of $10 million when compared to the fourth quarter of 2023. Overall, HilltopSecurities delivered strong results in the fourth quarter as the Public Finance, Structured Finance and Wealth Management business lines closed out the year, with positive quarterly and annual results. The broker dealer delivered a healthy pretax margin for the fourth quarter and for the full year, on increased revenues for both time periods. The firm continues to show an ability to provide diversified income streams, across varying rate environments. Moving to Slide 4, Hilltop maintains strong capital levels with a common equity Tier 1 capital ratio of 21%. Additionally, our tangible book value per share, increased from year-end 2023, by $1.14 to $29.49. During the period, we returned $11 million to stockholders through dividends. Thank you. I will now turn the presentation over to Will to discuss our financials in more detail.
Will Furr: Thank you, Jeremy. I will start on Page 5. As Jeremy discussed, for the fourth quarter of 2024, Hilltop reported consolidated income attributable to common stockholders of $35.5 million, equating to $0.55 per diluted share. The fourth quarter results reflect a few notable items, including a $5.9 million provision for credit loss recapture, which reflects the combined impacts of positive credit migration during the period, and an improved economic outlook, versus the third quarter. In addition, during the quarter we recognized a negative valuation adjustment of $5 million, related to an owned office facility that management intends to exit and sell. While we are making progress on the sale, it has not closed and as a result, Hilltop may have additional adjustments related to this transaction in future periods. Lastly, during the period, Hilltop recognized tax benefits related to various state income tax filings, and certain discrete items in the fourth quarter. The impact of these tax items, equates to approximately $3 million on an after-tax basis. Further, these tax items reduced the GAAP effective tax rate in the quarter, by approximately 7% to 14.2%. Moving to Page 6. For the full year of 2024, Hilltop reported consolidated income attributable to common stockholders of $113 million, equating to $1.74 per diluted share. During the year, net interest income declined by 11% and that was largely offset by lower provision expense in 2024, which equated to approximately $1 million for the full year. I'll address the allowance for credit losses in more detail later in my comments. A few additional items of note, while not included in the 2024 results, we disclosed on January 15 on Form 8-K that we had redeemed all outstanding senior notes that, were due to mature on April 15 of 2025. These notes were redeemed from cash on hand. In addition, Hilltop announced in a press release on January 27 that, our merchant banking group, Hilltop Opportunity Partners has agreed in principle to sell its ownership position in Moser Energy Systems. The after-tax gain for this transaction is estimated between $23 million and $27 million. It is important to note that this transaction is expected to close, during the first quarter of 2025, but importantly has not closed at this time. The estimate provided is subject to change if this transaction were to be modified in any material manner, prior to close. Turning to Page 7, Hilltop's allowance for credit losses decreased during the quarter, by $9.8 million to $101 million. While management continued to leverage the Moody's S5 scenario in its assessment of ACL, the macroeconomic outlook improved in the fourth quarter, reflecting a lower probability of recession than in prior periods. Further, the portfolio experienced client specific improvements in overall risk score, which additionally reduced the ACL during the period. These benefits were only somewhat offset, by higher specific reserves related to certain individually evaluated credits. Lastly, the ACL roll forward includes net charge-offs, which largely reflects our best estimate of loss for one of the auto note portfolio credits, we've discussed over the last few quarters. Allowance for credit losses of $101 million yields an ACL to total loans HFI ratio of 1.27%, as of December 31, 2024. I will address additional credit trends later in this presentation. As we've seen over time, ACL can be volatile as it's impacted by economic assumptions, as well as changes in the mix and makeup of the credit portfolio. We continue to believe that future changes in the allowance for credit losses, will be driven by net loan growth in the portfolio, credit migration trends, and changes to the macroeconomic outlook over time. Turning to Page 8, net interest income in the fourth quarter equated to $105.5 million and included $1.1 million of purchase accounting accretion. As expected benefit declined versus the third quarter of 2024, falling by 12 basis points to 272 basis points. While minimizing NIM compression remains a focus, we are pleased that net interest income remains stable versus the third quarter of 2024 levels, as overall deposit costs declined once the Federal Reserve began moving the federal funds rate lower. Also of note, average excess cash reserves increased to just under $2 billion as we experienced growth in client deposits, and declines in loans held for sale and loans HFI. Growth in cash levels did pressure NIM, and increases overall asset sensitivity for the organization. Turning to Page 9, we have more discussion topics related to NII. In the upper left chart, we provide detail into our latest sensitivity analysis, for NII related to parallel and instantaneous shocks, and interest rates. As is noted in the chart, Hilltop remains approximately 6.5% asset sensitive in the up 100 scenario. Over the past few years we have reduced our asset sensitivity, by approximately 50% from 12% to 6.5%. Going forward, the most significant driver of NII performance will be driven by our ability to manage interest bearing deposit betas, which are currently modeled at 54%, through the cycle. As it relates to deposit betas, we have achieved a 62% interest bearing deposit beta, in response to the Federal Reserve's first 100 basis points of rate reductions. While this beta level is encouraging, we remain focused on managing deposit costs to support both improved profitability and long-term deposit growth. In the lower left of the page, we highlight that our longer term target for asset sensitivity is 2% to 4%, and we're executing on a number of strategies to move our exposure toward these levels in a prudent, and methodical manner over time. In addition, the tables on the right of the page highlight the interest rate, reset schedule for our variable rate loans at PlainsCapital Bank. As is shown, the majority of the variable rate portfolio will reset within 30 days, following any rate action set forth by the Fed. Turning to Page 10. Fourth quarter average total deposits are approximately $11 billion, remaining largely stable with the fourth quarter of 2023. On an ending balance basis, deposits increased by $274 million from the third quarter of 2024, driven largely by growth from existing clients. As a result of our ongoing pricing efforts, average interest bearing deposit costs declined to 327 basis points, a decrease of 35 basis points from the prior quarter. Currently, we expect that interest bearing deposit costs will move somewhat lower over the coming quarter, and then stabilize until we see additional movement, by the Federal Reserve on short-term rates. Turning to Page 11. Total non-interest income for the fourth quarter of 2024, equated to $196 million. Fourth quarter mortgage related income and fees increased by $4 million, versus the fourth quarter of 2023, driven by improvement in both lock and closed volumes, versus the same period in the prior year. While signs of improvement in our mortgage business are emerging, some of the significant macro challenges persistent, whereby the combination of higher interest rates, home price inflation, and a somewhat limited housing supply continue to pressure volumes and margins. Versus the same period, prior year purchase mortgage volumes increased by $212 million or 12%, and refinance volumes increased by $226 million. During the fourth quarter of 2024, and on sale margins remained relatively stable with third quarter levels, for loans sold to third-parties. During the fourth quarter, higher third-party sweep fees, drove the increase in securities and investment fees and commissions. In addition, Structured Finance continue to produce strong results during the quarter, as overall capital market activity supported margins even while overall lock activity declined to $667 million. Of note, same period prior year lock volumes were substantially impacted, by certain states providing additional state funding to support their state housing authorities, and down payment assistance programs. As we've noted in the past, it's important to recognize that both fixed income services and Structured Finance businesses at HilltopSecurities, can be volatile from period-to-period as they're impacted by interest rates, overall market liquidity and production trends. Turning to Page 12. Non-interest expenses increased from the same period in the prior year by $12 million to $263 million. Driving the increase in non-interest expense were higher variable compensation expenses, principally within the mortgage and securities businesses. Also of note, the negative valuation adjustment that I referenced earlier, is included in the expenses other than variable compensation, and again equated to $5 million in the fourth quarter of 2024. Looking forward, we expect expenses other than variable compensation to remain relatively stable, between $185 million and $190 million per quarter, as the ongoing focused efforts related to streamlining our operations, and improving productivity continue to support headcount, and improved throughput across our franchise, helping to offset the ongoing inflationary pressures that persist in the market. Moving to Page 13. Fourth quarter average HFI loans equated to $7.9 billion. On a period ending basis, HFI loans declined versus the third quarter of 2024, by $29 million driven by a modest paydown activity in our commercial lending business. While the economy in Texas remains resilient, we do expect that the competition for funded loans will remain very intense. As we look into 2025, we are expecting full year average bank loan growth, between 2% and 5%. This outlook includes the bank's retention of PrimeLending mortgage loans. Moving to Page 14. As is shown in the chart on the bottom left of the page, net charge-offs for the fourth quarter equated to $3.9 million. As noted earlier, the most significant charge-off in the period, related to one of the large auto note finance credits, which equated to $3.6 million. For the full year of 2024, net charge-offs equated to $11.2 million, or 14 basis points of period end HFI loans. We believe the credit quality remains stable across the portfolio, and do not currently see any large systemic areas of concern. However, we are monitoring our loans and borrowers closely, as the persistence of higher interest rates and potentially lower real estate utilization rates in commercial real estate, could have a negative impact on our clients and our portfolio. As is shown on the graph at the bottom right of the page, the allowance for credit loss coverage at the bank ended the quarter at 1.33% including mortgage warehouse lending. Moving to Page 15. As we move into 2025, there continues to be a lot of uncertainty in the market regarding interest rates, inflation and the overall health of the economy. That said, we have provided our current outlook metrics for the coming year. As we've noted in the past, we're pleased with the work our team has delivered, to position our company for long-term success. Our outlook for 2025, reflects our current assessment of the economy, and the markets where we participate. Further, as the market changes and we adjust our business to respond, we will provide updates to our outlook on our future quarterly calls. Operator, that concludes our prepared comments, and we'll turn the call back to you for the Q&A section of the call.
Operator: Thank you. [Operator Instructions] Your first question is from Michael Rose from Raymond James. Your line is now open.
Michael Rose: Hi, good morning guys. Thanks for taking my questions.
Jeremy Ford: Good morning.
Will Furr: Good morning.
Michael Rose: Start on the merchant. Good morning. Maybe we could just start on the merchant banking gain, and obviously that will add to capital. I know you guys just announced the buyback. Any plans for anything like an ASR, like you've done in the past, or to be maybe a little bit more aggressive with the buyback at this point? Just trying to appreciate the capital priorities, and if there's been any changes just given this expected gain? Thanks.
Jeremy Ford: The priorities haven't changed, because of the specific gain. I think that we just got authorization for $100 million share repurchase, for the program and for the year. It's not an ASR, it's just going to be during open Windows. And so, we're certainly evaluating that. And I think that, we're hoping to be active with our share repurchase to our authorization this year. Last year we were, we started the year stronger, and did about $20 million. But we held off, because we had these looming debt maturities that we wanted to make sure we had, optimal flexibility for.
Michael Rose: Okay. That's helpful. And then, well maybe if you could just help me better appreciate the loan growth outlook, it is fairly wide. Can you just give us some assumptions around, what you're assuming for paydowns? I know the auto book is still, will be a somewhat of a headwind, although declining. Can you just talk about, borrower activity, pipelines, things like that? It seems like there's a lot of optimism in the market, but we haven't really seen it come through in the actual industry data yet. So just trying to better appreciate what could you drive you to the lower end, versus the upper end? Thanks.
Jeremy Ford: Yes so the, the range is a little wide. We're here at the early part of the year. Seems to be a pretty, pretty substantive bid and ask around where, where the Fed's going to kind of land the plane here in terms of this rate cycle. So trying to reflect that as well. I think we've seen pipelines build really through, midway the third quarter into the fourth quarter. Certainly that's continued here from a commercial lending perspective. That said, just for us, a lot of our activity is as commercial real estate oriented. So that means, we'll book the commitment it'll take. Our customers will then work through their equity installations, and then they'll start the borrowing process. So while we've got strong pipelines and strong activity that may not manifest itself in terms of actual fundings on the balance sheet for a couple of quarters. And so our outlook kind of captures that as well. We did see, as we noted on prior calls, some softness in the late first and second quarter last year, which are kind of causing a little bit of a slower start. As you can see, we're also expecting to retain loans that are originated at prime mortgage loans. Expect that retention to be $10 million to $30 million per month. We evaluate that on an economic basis. So it's not an auto drive matter in the context of just kind of turning it on at a level and forgetting about it. We will evaluate pricing, we'll evaluate the overall return profile. And so that range in and of itself, would put you anywhere from $120 million retained to $360 million retained. So those are the kind of things that start to put you within the range of 2% to 5% of the entire portfolio, and some of the variability. But as we have, we're going to be thoughtful, and prudent about how we put capital to work. Both from a credit perspective, but also a duration and asset liability perspective as it relates to mortgages we're going to retain.
Michael Rose: Yes, that's a good point on the mortgage retention, because I think it was zero to $20 million last year, and now you're bringing it up a little bit.
Jeremy Ford: Correct.
Michael Rose: Maybe just finally from me, I'm sorry if I missed some of the margin commentary, but appreciate the NII guide. If we don't get the two rate cuts that you have built in, would you be closer, would you be at the lower end? Or could you potentially be less than that, just given some of the competitive dynamics? Or is that range kind of contemplate somewhere between zero and two, and is that the way we should kind of think about it? Or does the guide really just kind of encapsulate the two cuts? Thanks.
Jeremy Ford: Yes, the guide encapsulates the two cuts across the year. We're asset sensitive, so candidly less cuts necessarily improves net interest income as a practical matter. So from our perspective, we'll wait and see where the Fed is, but the guidance we've got in place right now has kind of two Fed cuts, one in the middle of the year, one in third quarter, and we'll continue to watch those. We're going to continue to make progress on overall deposit costs. I do think it's important, to note we've got our CD portfolio, which we had structurally moved to shorten up, over the last 12 to 18 months. We've done that. The largest portion of that portfolio sits in kind of a 90 day product. Over the next 90 days we've got about $650 million of CDs that come to mature. Those have got a blended average rate on them around 430 basis points. And the current offering for that product is 395. So we're going to continue to see just through the natural matriculation of the balance sheet, as well as some of the decisions we've made as to how we position the liability side. We're going to continue to see some of that benefit, which was part of the comment around. We expect to see deposit rates continue to fall through the first quarter. Then they likely start to stabilize up and until we see the Fed, make a definitive move from here.
Michael Rose: Perfect. Thanks for all the color. I appreciate you taking my questions.
Jeremy Ford: Yes, sir. Thank you.
Operator: Thank you. Your next question is from Stephen Scouten from Piper Sandler. Your line is now open.
Stephen Scouten: Yes, thanks. Appreciate it guys. Curious how - you guys are thinking about Structured Finance revenues for 2025, obviously a really nice year in '24. And you guys talked about some of the down payment assistance programs and the benefits there. What's, that kind of environment looking like as you see it today? And do you feel like that can continue to grow off of this, let's call it $100 million figure from 2024?
Jeremy Ford: So well, good morning. And I think, from a Structured Finance perspective, as we've noted, it's benefited for the last couple of years from, one of our larger state housing authorities continuing to in the state putting in additional funds, to support their down payment assistance program. We don't have any control of that. They obviously operate independently in that regard. And so as a result, if they chose to continue to support the program, through their annual budgeting process. We obviously believe that would be favorable to, the constituents in the state. But also our Structured Finance business, if they didn't, we would obviously expect revenues in Structured Finance would be lower, as a result of not having had that support, versus the prior couple years where we've seen it. So that's a little bit of an unknown. We certainly can't comment on any of the state budgeting processes. But that really is an added variable that's outside of kind of capital markets, or overall prompt wherewithal.
Stephen Scouten: Got it. Okay. And then, it's like you said, it's a little unclear maybe where rate cuts, how many of them we get when they come and so forth. But how do you think about the asset sensitivity of the balance sheet, over the longer term? What do you, I think you've said before, maybe reducing that asset sensitivity over time, increasing retention to some of the hybrid mortgages potentially to do that, kind of what's the goal and the target and what beyond that, those hybrid mortgages might you change around the balance sheet, to inflect those differences?
Will Furr: Yes. So in my comments, we noted in here on Page 9 of our document, we show our longer term targets, it's kind of 2% to 4% asset sensitive. Obviously our mortgage company provides some countercyclical, more liability sensitive components, to it in terms of overall income profile. But as it relates to NII, 2% to 4% asset sensitive, you can see here we will have started and have restarted the investment in our securities portfolio. It's worth noting that portfolio peaked at about $2.75 billion, currently has a book value about $2.25 billion. And we'll reinvest those cash flows. I think we've reached a point where the reinvestment opportunity, provides a better return and more stable earnings profile than the cash yields necessarily would. So we're starting that process. As you noted, the increase the retention of the three, five and seven-year hybrid fixed rate mortgages. We believe those products both from a profile perspective, as well as an overall credit perspective fit our profile from a longer term perspective. You'll see in our guidance we did increase the retention level expectations to $10 million to $30 million per month. And then, we'll continue to kind of move, if our deposit base remains strong, we'll continue to kind of move broker dealer suite deposits out of PlainsCapital Bank, back to the broker dealer and they can put them to work, in their third-party bank program. So those are the types of things we're doing right now to start to drive, and push that asset sensitivity down. As I noted in my comments, we have seen cash levels increase substantively, ending the period at the bank at just over $2 billion. And obviously cash, excess cash reserves of the Fed have 100% beta, significant asset sensitivity. So as we continue to work that cash level down to our target level. Which as we've stated is $300 million to $750 million versus the $2 billion. We'll see that asset sensitivity level, decline over time. But as I noted in my comments, we're not looking to kind of move the balance sheet quickly. We'll move it over time, and prudently the focus on return and long-term positioning, and that view will continue to evolve as the economic environment evolves.
Stephen Scouten: Got it. That's extremely helpful. Thank you. And then last thing from me, is just, there's been maybe a little bit more volatility around the quarter-to-quarter provision, than maybe I'm used to seeing sometimes. And a couple reversals, and then there was a larger provision in the second quarter, and some of that's episodic credit obviously I know, but can you kind of talk about how you guys think about the provision and if, I don't know if you have maybe a more fluid view, than others may have. I'm just trying to get a feel for what kind of has caused some of that volatility, around the build versus the reversals and kind of, how you think about it in '25?
Jeremy Ford: Yes, so obviously we feel like, we're kind of following the allowance for credit loss guidance from a gap perspective, adopting and adapting an economic outlook each period through our controls and governance process that, we believe kind of most reflects where management believes the economy's going. Obviously there's been some volatility, from an economic perspective. So that's one part and you should see that. I think universally it's worth noting we only use one scenario, so we don't wait if you will or probability, adjust to multiple scenarios, which may allow others, and I can't speak to that, but it may allow others to have a little less variability there. But we do leverage one scenario, because we think that generally provides the cleanest perspective. The other part has been the auto note portfolio, which honestly, as we noted late last year, started to manifest itself. We took some significant reserves. We then started to, through the workout process, lease reserves. As I noted earlier, we had a net charge-off, which obviously has a swing on the overall reserve balance as well. So that portfolio activity throughout the course of this year, has also kind of created some variability that, might have been outside of normal.
Stephen Scouten: Got it. Yes. Extremely helpful. Probably right about those differences. So thank you for all those.
Jeremy Ford: Thank you.
Operator: Thank you. Your next question is from Woody Lay from KBW. Your line is now open.
Woody Lay: Hi, good morning, guys.
Jeremy Ford: Good morning.
Will Furr: Good morning.
Woody Lay: Just one more follow-up on the asset sensitivity - in the bond book. Do you have how much cash flows you're expecting from the securities portfolio in 2025, and how should we think about the incremental yield pickup there?
Will Furr: Yes, so the cash flows, it's an estimate, but cash flows between $250 million, $300 million on a full year basis. Think about the weighted average yield on the portfolio at a right, right at 310 basis points and the reinvestment yield today. And I think that's where it becomes difficult. But we believe the reinvestment yield today will be between, 450 and 475 basis points. Obviously as the rate paradigm shifts, that could change. But we believe there's probably about 150 basis points of pickup, in positive carry on that rollover balance as we go move throughout the year.
Woody Lay: Okay. That's helpful. And then I wanted to shift over to deposits. I mean, it was a really strong quarter for deposit growth. Just any color on the trends there?
Will Furr: I think during the quarter and really during the second half of the year, we had had some strong customer activity both in terms of just normal flows and activity. But also we did have some, I'd say episodic events where we had customers that were able to sell their businesses, liquidate properties, exit properties and the like. And so that did drive up kind of year-end balances. We expect to see through the first quarter some of that, normalize as those customers start to put those funds to use and either new products or move them out for wealth management purposes and the like. So we do think we probably hit a high water mark at 12/31. We'll start to see that normalize in the first quarter for normal reasons, like dividend distributions and payments and incentive payments and the like, tax payments. But also some of those larger, more episodic events. Those customers starting to make longer term decisions, around where that cash will be. That said, I do think we continue to focus on growing our treasury services platform, as well as further integrating with our customers around their operating accounts and the like. So it is a foundational strategy and approach for us, to continue to grow deposits, which we'd expect to do. But that said, we did have some episodic favorable events in the third and fourth quarter. That kind of move deposit balances higher.
Woody Lay: Got it. And then lastly, just shifting over to credit criticized, saw a nice step down. Just any detail you could provide on upgrades you saw there?
Jeremy Ford: Yes I mean, we saw, as I noted in my comments, I mean we saw a few very specific upgrades. One in particular was our commercial real estate space, where we've had some customers and some property. We had some customers put forth some additional capital there, and cash flows started to improve as a result of that. So this is one of those processes that we evaluate each quarter. And again, as I noted, we look across the portfolio. We don't see any large systemic credit risk exposures in place, but we continue to monitor each credit closely, kind of one-by-one. In this particular scenario though, it was one of our real estate customers that received an upgrade in the period.
Woody Lay: All right, that's all from me. Thanks for taking my questions.
Jeremy Ford: Thank you.
Will Furr: Thanks.
Operator: Thank you. Your next question is from Jordan Ghent from Stephens. Your line is now open. Hello, Jordan, Your line is open. Are you on mute? Hello, Jordan. Seems like we lost Jordan. There are no further questions at this time. The question-and-answer session is now closed. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect your lines.